Operator: Good day, ladies and gentlemen, and welcome to the TransAct Technologies Third Quarter 2014 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions). I would now like to turn the call to Mr. Jim Leahy, Investor Relations. You may begin.
Jim Leahy: Thank you, Dephney. Good afternoon and welcome to TransAct Technologies 2014 third quarter conference call. Joining us today from the company are Chairman and CEO, Bart Shuldman; and President and CFO, Steve DeMartino. Today’s call will include a discussion of the company’s key operating strategies and progress against these initiatives and details on the third quarter financial results. We will then open the call to participants for questions. As a reminder, this conference call contains statements about future events and expectations, which are forward-looking in nature. Statements on this call may be deemed as forward looking, and actual results may differ materially. For a full list of risks inherent to the business and the company, please refer to the company’s SEC filings, including its reports on Form 10-K and 10-Q. TransAct undertakes no obligations to revise or update any forward-looking statements to reflect events or circumstances that occur after the call. Today’s call and webcast will include non-GAAP financial measures within the meaning of SEC Regulation G. When required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measure, calculated and presented in accordance with GAAP, can be found in today’s press release, as well as on the company’s website. At this time, I would like to turn the call over to Bart Shuldman. Bart?
Bart Shuldman: Thank you, Rich, and welcome to everybody joining us in this afternoon’s conference call and webcast. This afternoon, we reported revenue of $13.4 million, adjusted EBITDA of $900,000 and diluted and adjusted diluted EPS of $0.01 and $0.04 respectively. Steve will review the financial results in detail in a few moments, but let me start the call by noting it’s that probably not new news to most of you that the domestic casino and gaming industry remains very challenged, as evidenced by both gross gaming revenue and unit sales trends. Of course, printer sales are closely tied to the number of slot machines sold each quarter. So even as we maintain a strong worldwide market share of printer sales it’s clear that constrained casino operators’ capital budgets especially in the regional markets on the domestic front impact our business. Given our outlook for the domestic casino and operating environment, I want to review several strategic initiatives underway that we believe are prudent for TransAct and our shareholders. The first initiative is a recently implemented plan that will bring our cost in-line with our current outlook for the casino market. In total, through reductions in expenses we expect to reduce total cost in our business by $1 million on an annualized basis. By the first quarter of 2015, we should be largely on plan on a quarterly run-rate basis with the full effect of these cost reductions. While we believe that this is the action to take at this time it is equally important for me to tell you and that we communicate to our investors our intention over the next 12 to 14 months to continue to invest in products and people that represent significant growth opportunities for TransAct. So we will decrease cost on an overall basis but maintain our support and focus on the growth areas of TransAct. Specifically, we are committed to supporting our Epicentral promotion and bonusing system, our Ithaca line of food safety terminal and our Printrex line of color and black and white printers for the worldwide oil and gas seismic and exploration industry. Our strategy and plan has been to grow the revenue contribution from each of these products in order to diversify our revenue base and drive our financial results by benefiting from the mix shift into the different markets through the sales of these higher margin products. We remain very excited regarding these new market opportunities, so let me briefly update everyone on what’s going on. First, we are seeing an increasing level of awareness and interest in the Epicentral value add solution as operators in both domestic and international markets are actively seeking solutions that can drive increases in slot gaming revenue resulting in attractive returns on their investment. With Epicentral-enabled casinos reporting very strong performance metrics such as a 46% average increase in slot handle, the evening of a coupon drawing promotion, a 100% increase in lower tier player average daily theoretical, a 37% increase in weekday afternoon slot handle, a 14% increase in average player time on device, a 60% increase in new player enrolment in the loyalty programs, a 34% increase in the number of returning players, an 87% redemption rate of coupons that encourage mid-week visits and an 86% increase in points earned by player club members, the interest in Epicentral was understandable and warranted. In fact, I will share a data point from a recent report on a survey of over 100 casino operators that noted nearly 20% of the respondents planned to purchase a coupon printer in the next 12 months. Epicentral is widely considered the leading product in the market today and our internal data shows that the interest may be even slightly higher than what was indicated in the survey I just referenced. Because of the benefits Epicentral delivers to casino operators we remain very optimistic about future sales as this business grows. Turning now to out Ithaca line of food safety terminals and the roll out of these products. For Ithaca 9700 we have now received approvals from several national restaurants and food service operators. These approvals offer some promising proof points of the progress we are making with this product. To get the approval part of the sales process, we first work with operators to understand and have them accept the new technology so that they then consider the value it offers. Once we accomplish this we work very closely with the restaurant company’s management on their menu and what we refer to as a payload development after which we move on to a trial of the product. Including the trial, this is clearly a 6 to 18 month process and at the end of the successful trials we work to reach the approval process. In terms at recent approvals from several national brand restaurant operators, which are in addition to the approval we secured from McDonald’s, we are starting to see traction with this product line. With the approvals from several large multinational operators now in hand we are at the stage where we are beginning to market the Ithaca 9700 to their franchisees. I’ve noted before that similar to the initial roll out of TITO printers the pace of introduction for the Ithaca 9700 is still choppy, but as we saw in the gaming industry we think once adoption takes hold sales will accelerate nicely. Our customer interaction support our view that this remains an attractive long-term high growth business for TransAct. Briefly on the Ithaca 9800, which addresses restaurant companies that want to use a back-of-the-house software system to help them better manage their food cost and inventory labor cost, we are making progress on the system’s integration process. We should start to see some benefit from the contributions in this product beginning in late 2015. I truly believe this newer technology that will combine and integrate a restaurant’s back-of-the-house software with our new terminal could be the way the restaurant industry evolve with food rotation labels, grab and go labels, ingredient labels, nutrition labels while also controlling food and labor costs. This integrated solution makes a lot of sense to me and feedback we have received to-date indicates that it makes a lot of sense to a number of restaurant operators as well. It would not surprise me if the restaurant industry eventually goes with this type of technology. Turning to our Printrex oil and gas printers, we are generating some very exciting sales of the in-office Printrex 980 color printers. In fact, sales of the Printrex 980 are pacing nicely ahead of our expectations as I noted in the last call based on market interest in the product. We actually believe the potential for this product is larger than originally anticipated. Our success with the Printrex 980 is very encouraging as the office market is a completely a new market to us. So our progress reflects market share gains from incumbent providers. In addition, all of the in-office units we have placed to-date are generating high margin consumable revenue. At this point, our Printrex 980 terminals are generating on average $20,000 in annualized consumable revenue and much higher than -- with some of our customers it can go between $20,000 and $30,000 and $35,000. Moving on to the Printrex 920 color printer that it addresses the logging truck and offshore platform market, we continue to make progress with the multi-step integration process with large, medium and small operators around the world. This is almost entirely a replacement market opportunity as we seek to convert operators from black and white printers to our higher valued color printers and we expect sales momentum for the Printrex 920 to continue into 2015. Again the Printrex 980 and 920 color printers together offer a complimentary growth opportunity to the sale of related consumable products. In fact, the annual run rate for these consumables is approaching $1 million and continues to grow. This is a very high return business for TransAct which simply did not exist when we purchased Printrex. I hope these updates on Epicentral and the Ithaca and Printrex lines demonstrate why these products are critical components of our growth strategy. We have two other relatively new products that we believe offer further growth opportunities for the company. Briefly, the introduction of the Responder printer brand remains on track. This product addresses a significant opportunity in the machine-to-machine or M2M market. Since we announced the Responder MP2 mobile printing solution in March, the reaction has been positive. We expect to be in full production on the Responder MP2 in early 2015. As a reminder, for the launch of the Responder MP2 we partnered with Printek, a leading integrator in the police car market to accelerate our time for market given that the M2M market is quite fragmented across different fleets, types and geographies. Our goal of course is to partner with more integrators once the printer is in full production. And finally, this week, we announced our newer solution for the retail banking industry, our BANKjet 3000 which we believe is the first product in the market that offers customer-favorite check image printing capabilities at the teller station. The BANKjet 3000 delivers receipts with high resolution check images at the teller stations, the same receipts customers have come to expect from their ATM transaction. This new product is a great example of how we can be highly responsive to customer needs with unique industry leading and value added solutions. The BANKjet 3000 is a highly compelling solution for our banking customers and we’re excited about the prospects for its acceptance in the marketplace. Our constant strategy of more features and functions at a very competitive price to our customers continues with the launch of this product. Let’s shift now to another important of strategic initiative for TransAct which is our commitment to return capital to shareholders. We view our dividend and share repurchase programs as excellent vehicles to support our goal of enhancing long terms shareholder value. In August, our board authorized a $7.5 million share repurchase plan and from the time of its implementation through the beginning of our quarterly blackout period we repurchased approximately $800,000 of our outstanding shares. Also as reported earlier this week, our board approved the modification to the stock repurchase plan. Pursuant to this modification new authorization now includes the repurchase of up to $4 million pursuant to a new rule 10b5-1 trading plan that will become effective in November. The rule 10b5-1 plan will be effective through April 30 through 2015. So over about five-month time period the plan allows for the purchase by the company of TransAct shares in a non-discretionary pre-scheduled manner including during normal quarterly blackout periods. The timeframe for the repurchases as well as the quarterly cash dividend of $0.08 per share highlight the confidence we have in our cash flow projections over the coming year. With that, I’ll turn the call over to Steve for a deeper review of our 2014 third quarter results after which I’ll make some summary remarks before we open the call to questions and answers. Steve?
Steven DeMartino: Thanks, Bart, and good afternoon, everyone. 2014 third quarter net sales were $13.4 million, which was down from $16.8 million in the year ago quarter. By sales unit, casino and gaming revenue was $5.1 million compared to $7.5 million in the year-ago quarter reflecting a lower overall domestic unit volume and no Epicentral softer installation this quarter where we had one installation in last year’s third quarter. The decline in domestic casino and gaming revenue was partially offset by higher printer sales to international casino and gaming customers. Lottery sales of $1.5 million improved 44% year-over-year as GTECH had normal than their normal minimal contractual buy in the 2014 third quarter. Food safety, point-of-sale and banking revenue was $2.6 million essentially flat on a quarterly sequentially basis but, down $1 million year-over-year. Sales of our Ithaca food safety terminals were down $1.3 million year-over-year as last year we had a $1.5 million stocking order from a distributor that didn’t repeat this year. However, sales to other food safety customers actually increased by $300,000 or 75%. In addition, sales of point of sale printers to McDonald’s increased $200,000 as they accelerate their roll out of Ithaca 9000 printers for a new check out application. Total revenue of our Printrex branded printers was approximately $1 million, which is down slightly from last year’s third quarter but relatively consistent with the run rate we’ve achieved each quarter this year. Despite the decline in our overall worldwide sales of oil and gas printers, which we believe is being negatively impacted by declining oil prices, sales of our Printrex color printers remain flat both on a year-over-year and quarterly sequential basis. Finally, TSG sales were down 8% year-over-year to $3.2 million in the quarter though up slightly on a quarterly sequential basis. As Bart noted, sales of our Printrex color printer consumable continues to be a positive story for us rising 50% over the prior year period. And the annual run rate for our Printrex consumables business is approaching $1 million and growing as installed base of Printrex 920s and 980s expand. The increase in revenues from Printrex color consumables was more than offset by lower spare parts and service revenue, as well as lower HP inkjet cartridge sales, reflecting a declining installed base as we continue to deemphasize this low-margin legally printer product. Our gross margin of 39.5% in the quarter compares to 43% in the year ago quarter on 20% lower sales volume and an unfavorable shift in sales mix as we had lower sales of higher margin casino printers, food safety terminals and Epicentral software. Operating expenses of $5.2 million were down slightly year-over-year. Excluding lawsuit legal fees and adjustment to the accrual for contingent consideration related to the Printrex acquisition in both periods, operating expenses were $4.8 million compared to $5.1 million in the 2013 third quarter, which was down 6%. Engineering design and product development expenses were flat year-over-year at approximately $1.1 million, and selling and marketing expenses were down $200,000 or 10% to $1.8 million. The year-over-year decline in selling and marketing expenses reflects lower variable expense such as sales commissions and travel and lower sales volume and the shift in the timing of the G2E trade show this year. G2E, which is our largest trade show expense of the year, moved from the third quarter last year to the four quarter this year. G&A expenses were down $100,000 or 7% to $1.9 million in the third quarter primarily reflecting lower professional fees and lower depreciation amortization expense as our Oracle ERP system is now fully depreciated. G&A expenses for the third quarter 2014 also included a reversal of 40,000 of expense relating to the Printrex contingent consideration accrual. If you recall there is accrued relates to the estimated earn out payment to the Printrex over a three-year period that ends at December 31 this year. This will likely be the last adjustment we make for this item as we reduce the accrual to zero in Q3 since we don’t anticipate making any earn out payment to Printrex through the year end. Shifting gears, we incurred approximately $400,000 of legal fees related to the Avery Dennison lawsuit during the third quarter 2014 as we prepare for the scheduled April, 2015 trial date regarding their complaint relating to our Ithaca food safety terminal. As we get closer to the trial date, we expect legal fees relating to this lawsuit will increase and ramp as we move in to the fourth quarter and the first half of 2015. I’ll remind everyone that today TransAct has received a favorable ruling from the court on three separate occasions as it relates to the lawsuit. GAAP diluted EPS for the 2014 third quarter was $0.01 compared to $0.17 in a year ago period. Adding back the legal and other expenses associated with the Avery Dennison lawsuit and the Printrex contingent consideration accrual adjustment, adjusted diluted EPS was $0.04 for the 2014 third quarter which compares to $0.18 in the year ago quarter, and adjusted EBITDA was $900,000 compared to $2.6 million a year ago. Turning to the balance sheet, we ended the quarter with $3.1 million in cash and we continue to have no debt as of September 30, 2014. During the quarter, we returned approximately $700,000 of capital to our shareholders to our quarterly cash dividend of $0.08 per share. In addition in August, our board of directors approved a $7.5 million share repurchase authorization. Through the end of the third quarter, we repurchased approximately 109,000 shares of our common stock for a total consideration of about $800,000 making the total return of capital to the shareholders in the third quarter approximately $1.5 million. So through a combination of quarterly cash dividend in share we purchases, we’ve not returned at all of approximately $2.7 million to shareholders through the first nine months of the share. Following up on Bart’s comments regarding our new 10b5-1 trading plan, one of the important aspects of the trading plan is that share repurchases can take place according to the plan during our normal quarterly blackout period. The $4million 10b5-1 trading plan is expected to be effective later this month and will expire at the end of the April next year. One final point on our return of capital initiatives. Since the beginning of 2012 we’ve returned a total of $16.7 million to shareholders while simultaneously investing long-term growth opportunities. With the majority of our investment for new product development now complete and cost reduction initiatives in place that we expect will lower our total expenses by about $1 million on an annual basis beginning in 2015, we have an excellent foundation to further exploit our growth opportunities while continuing to follow through with our return of capital initiatives. And finally, while we believe gaming printer sales will continue to reflect the challenges of that industry at this time, we remain optimistic about our sales pipeline for our two food safety terminals as well as expanding sales of our color Printrex oil and gas printers and related consumables. And at this point, I would like to give the call back to Bart for some closing remarks. Bart?
Bart Shuldman: Thanks, Steve, that was just wonderful, thank you. Before opening up the call to your questions I want to emphasize our key ongoing strategic initiatives. First, to address the current outlook for the domestic casino industry, we have effected cost reduction initiatives that will result in an annualized savings of $1 million. Second, we remain fully committed to our investing in and funding the growth of our highest potential growth and high return products, Epicentral, our Ithaca food safety line and our Printrex line of color printers for the oil and gas seismic and exploration market. Each of these products offer compelling value enhancing solution and will also continue to support the rollout of our new Responder MP2 and our new BANKjet 3000 printers. And third, and I think Steve said it wonderfully, we remain committed to returning capital to shareholders through our quarterly cash dividend and through repurchases of our common stock. TransAct has the financial foundation to both support our return on capital initiatives while simultaneously advancing our revenue enhancing strategies. With that, let’s open up the call to your question. Operator?
Operator: (Operator Instructions). And our first question comes from Mitchell Sacks of Grand Slam. Your line is open.
Mitchell Sacks - Grand Slam: Hey guys, I got a couple of questions around food safety and then I wanted to ask some questions about the casino side. On the food safety, you guys obviously mentioned you had a couple of wins. When did that start to show up in revenue? And is it really based on the fact that these wins are of a parent company and, therefore, there is some lag because there may be franchise who have to make the purchase decision?
Bart Shuldman: Mitch, it’s a combination. So once we win the brand approval, in most cases, we then are given the license to sell to the franchisees. And in certain cases there is a lot of franchisees with a small amount of restaurants and in certain cases of some restaurants that we won there is bigger, there are franchisees that own a lot of restaurants. And so we’ve got an attack plan of how to address that, we’ve kind of changed up our sales force a little so that for the bigger franchisees we can go after them with personal calls and the ones that have smaller amount of franchisees we can do that through telemarketing. There are certain amount of customers that we’re talking to, one in particular that we won where they bought all the terminals at once and they’re putting them out in the restaurants. But the norm is right now that they have franchisees and we sell to those franchisees. So it does take a little time. I got to say we were encouraged over the last couple of weeks, I’d say over the last six weeks, Mitch, because we closed that more than just a couple. And it took time, and I think I’ve mentioned it on the call that it does take time to get their attention, it does take time to show them the technology, then management to buy into it and to go through the trials, both normally in their headquarters and then out in the field. But over the last couple of weeks, we started to see some open up and some close. And that has given us the -- I mean we’ve always been very enthusiastic about the market and I think you know that in the many times we’ve talked at our meetings. But it clearly is very encouraging when we close it and see it and now have the license to go and sell it and the response we -- I got an e-mail just yesterday where we were at a meeting of the company where they had all their franchisees together and we had franchisees standing up selling our product, because they truly believed in it. So, we’re really encouraged by the wins and the fact that our technology was chosen.
Mitchell Sacks - Grand Slam: And those franchisees that were standing up and trying to counting your products, so these are franchisees that have in test restaurants effectively or how were they able to do that?
Bart Shuldman: Yes, so we didn’t approach, we had a two prong approach to the market where clearly we weren’t at the headquarters level and in some cases we actually worked at the franchisee level, so we got both the push and the pull on the parent to look at the technology. So, in one case where we work with some franchisees and they put the technology out and then it got approved, they helped to push it through the corporate office. And then when we went to the meeting they were able to stand up and say hey, look we’ve had the technology for a couple of months in our stores, it really works, it’s really the thing to buy. In the case of where the trial was done by the franchisee then they were able to explain how it benefited them.
Mitchell Sacks - Grand Slam: Okay. And so when did that start possibly offset some of the negativity that’s going on with the casino side of the business?
Bart Shuldman: We expect next year. There is no doubt that we expect next year to be a better year because of food safety.
Mitchell Sacks - Grand Slam: Okay. and then with respect to Echolab, when are they able to start selling or when did they start to become additive to food safety sales?
Bart Shuldman: I can’t answer that right now. One of the things that we’re doing, Mitch, is we are -- with our sales programs and our sales initiatives, we are looking at where we can get the biggest hits first. And we’ve identified some real big opportunities for us, and from a company focus that’s what we are focusing. And I can’t really make comment, we’re under non-disclosure with Echolab. But as a company we’re, due to the fact that the domestic casino market is as weak as it is, we’re fishing where there is fish. We’re not putting a line in the water and hoping some fish comes up. We know where we’ve got the strongest relationships where we’ve been the most successful where the response in terminal has been the most your positive, where we’re getting the best response from corporate, and our guys are focused there to close those orders. And so we’ve got a very, very focused approach to get closed as many orders as we can and go out and hunt those opportunities and work those where we can get the orders the soonest.
Mitchell Sacks - Grand Slam: Okay. And then with respect to Epicentral, G2E I guess you’d had some positive feedback from people who have it rolled out in their casinos. Can you just walk us through Epicentral and what you’re seeing there and how we should think about it in going forward from a -- your ability to bring people across the trench and close them?
Bart Shuldman: Yes, this has been a -- I would call it a frustrating year just because we had so many headwinds. We had a clearly declining market. I think you were at G2E probably could probably call it the biggest job fair I’ve ever been to. And there was been a lot -- there has been a lot of headwinds this year in rolling out the technology that we have. I think the good think is, and you got the see it in the boost, Mitch, was we had customers that have the technology in their booth selling it for us, talking to customers. And our list of opportunities continue to grow, not decline. And so we are -- we’re optimistic about next year because the response, and given the headwinds and given all the software upgrades that were thrown to the industry that stop people from buying or looking at up Epicentral because they had to upgrade their slot machine system instead, we’re pretty optimistic about next year with Epicentral. And it’s around the world, Mitch. It’s very interesting how in markets that you wouldn’t expect taking how we’re getting some of the strongest response. Peru is a great example where not only that we place -- what did we put in six or seven system, Steve? But we replaced our competitors’ product in order for them to do it. So, the response has been good, the result have been for better words just been wonderful. And the fact that customers are willing to stand up and talk about it has been great. I mean I think you and I -- forget if you were at a dinner with Bank of America the night in at G2E where one of the casinos that actually has our system was there and with an invited guest of Bank of America, and he stood up and said it was the best decision he has ever made as a casino manager. And when other operators hear that and they know him, they look at him and say we need to know more. So I think we exit a very difficult year. I don’t think anybody should minimize how difficult 2014 was for the industry. We exited with about as much positive feelings about it as we ever have.
Operator: Thank you and our next question comes from Phil Bernard of Eilers Research. Your line is open.
Phil Bernard - Eilers Research: Thanks for taking my questions guys. First about your outlook on the market, you are saying that you have a negative view on that casino positive with restaurants; one of the other products that you intend to focus a lot on is the oil and gas industry. How do you guys view oil and gas moving forward?
Bart Shuldman: Yes, yes, talk about hit another headwind. , Yes, look we entered the market, it’s an exciting market, I think we’re all benefiting from lower gas prices and it probably the best tax break we’ve gotten in a long time considering what’s been going on. Right now, we’re staying very close to the industry, and the good thing that I’m hearing right now from our staff is nobody is laying down any rigs, the rigs are still working and there is still pumping. I think we will see a slowdown in our truck market because as they slow down production as long they don’t lay the rig down there will be trucks that go out but I think we’ll see somewhat of a slowdown in that business. But I think you’ve heard us over the last couple of quarters talk about our office printer and that’s where we are walking into a market with truly the best mousetrap, right. We’ve got the best product. Our competitors are Jerry-rigging an existing page at a time printer that try to do a continuous form printer where our printer was designed for continuous form. And we’ve already sold as many printers as we thought we would get in five years; we’ve done that basically in a little over a year. And the opportunities continue to grow and the opportunities because there is still going to print out these reports because now even more than before they need to know how that well is working, and it’s really the office people that are looking at those reports. So we’re optimistic that we’ll be able to continue the progress we’re making with our 980 printer. And the good think about the 980 printer is the amount of consumables, right. I mean now it’s averaging about 20,000 and that’s because we had some printers in some markets where they don’t print as much. So, if some customer is doing 30,000, 35,000, we’ve some doing less and the average is somewhere between $20,000 and $25,000 a year recurring revenue. But every printer we get out there does that. So being that it’s only a $4 million or $5 million business for us, we think we’re going to be fine but we’re really going to focus on that 980 business because that’s where it’s a real easy sell. We put our printer in an office where they’ve got our competitors printers, they’ve had kinds of reliability issues, our printer goes in, it just works and then of course they buy the consumables and they buy a lot of them. So, right now we would expect our truck market to slow down a little but we’d expect our office market to pick that up.
Phil Bernard - Eilers Research: Okay, great, and that’s the consumables that’s approaching $1 million in recurring revenue over a year. Correct?
Bart Shuldman: That’s right, that’s right
Phil Bernard - Eilers Research: All right. How do you expect that to ramp up?
Bart Shuldman: Well every time we sell with printer its $20,000 in recurring revenue. So the goal is to get as many printers out there as possible and we are very, very focused on it. The good news is three out of the four big companies have our product now. One or two of them have pretty much almost standardized on our product. So which means every time there is an opportunity where they need to replace a product, we’re first on the list and we’re also -- and what we found it’s a worldwide market too. So the opportunities are not just in Texas or Midland Texas or Oklahoma City or Denver but they’re also in Singapore, they’re also in Asia, they’re also in Mexico, they’re also in Brazil. So they’re taking us everywhere. And the product is just so much better than what’s out there that we’re optimistic that that business will clearly, once we get a printer out there, then the consumer business starts and just builds.
Phil Bernard - Eilers Research: Okay, great, thank you. Last question, in referring to the $1million in cost reductions in terms of the timeline you’re saying you expect to see that in the next year, where is that going to come from, is that primarily G&A?
Bart Shuldman: It’s a lot of G&A. Steve.
Steve DeMartino: Well yes, most of it will come from operating expenses, actually a big chunk will in product development.
Phil Bernard - Eilers Research: Okay.
Bart Shuldman: If you think about it we launched four new products in 2014 and look I, as tough as the casino market has been, and I know our shareholders are not happy with it, that’s the reality, right. We woke up one day just like everybody else that in the industry, there was no buy-side or sell-side analysts talking about a major decline in the casino market. But we stay to our program of bringing our four new products. So we have the engineers to do that, we have the infrastructure to do it and our last product is done. We can now cut back on that engineering costs because the launches are now done. We can also -- we also changed some G&A, some selling, some marketing to address some of the concerns we have like in the casino market and some other areas. So we’re able then to take our cost down, but we got our four products out there. And I love what Steve said. Through this all we’ve returned over $16 million to shareholders, but the big thing for us was to diversify. And like I said, I don’t remember reading an analyst report in the late 2013 or early 2014 that said hey, be careful, the casino market is going to come, fall of a cliff. I think we all woke up one day and saw what was going on. But we stayed with our plan of getting those products out addressing some big market opportunities. The MP2, the Responder MP2 was going after a very big opportunity, our BANKjet 3000 the first printer it’s going to be low cost, it’s going to do receipt, it’s going to do validation but it’s also going to print the check image on the receipt which is what happens at the ATM but does not happen at the teller station and at BAI next week it’s going to be launched and we’ve had customers talking about it. So we stayed to our program of developing these new products so we could diversify around what can only be considered a difficult casino market.
Operator: Thank you. And I am showing no further questions at this time. I would like to turn it back over for closing remarks.
Bart Shuldman: Well we thank everybody for joining us on the call this afternoon. We want to thank our shareholders for their support and we also would like to thank all of our team members here at TransAct for the hard work that they’re doing. We look forward to reporting back to you on further progress in our business and also when we report the fourth quarter results in March of 2015. Everybody have a good night. Thank you.
Operator: Ladies and gentlemen, this does conclude the program, you may all disconnect. Everyone, have a great day.